Horst Julius Pudwill: Good morning. It gives me great pleasure to welcome all of you to TTI Group 2024 Annual Result Announcement. I would like to start by introducing our Group CFO, Mr. Steve Richmond. And today, the presenter will be our President, Milwaukee Power Tools, Mr. Shane Moll. Thank you. And our RYOBI Power Tool president, Mr. Bobby Shaw. Bobby, welcome. We had an outstanding 2024 with sales outperforming the market and delivering double-digit growth with strong free cash flow as we will present to you later in this meeting. It is always more easy for me to welcome you with good and strong results. It's understandable. Our Group Vice Chairman, Mr. Stephan Pudwill, will continue with my opening remarks, before they elaborate our results. Stephan, please.
Stephan Horst Pudwill : Thank you, Chairman. So as the Chairman highlighted, we had an outstanding 2024. With revenue up 6.5%, net profit up 14.9%, and $1.6 billion of free cash flow, I think it's safe to say we had a great year. Now, at the foundation of this success is innovation. And in order to innovate, you need great culture and exceptional people. So we have spent years assembling what we believe is the greatest team in the industry. And it is this team what sets TTI apart from the competition. So I'm extremely excited to have Steve, Shane and Bobby with us today to walk us through not only the 2024 results, but also the outlook and to talk about all the exciting opportunities that lie ahead of us in the future. And believe me, there are a lot of opportunities. Now, before I hand the floor over to our group CFO, Mr. Frank Chan, I would like to mention that TTI was founded by our Chairman, Mr. Horst Pudwill, in 1985. So 2025 marks our 40th anniversary. And actually going back in 2024, that was the 100th anniversary of Milwaukee. But what I can tell you is that if you think the last 40 years was exciting, the best is yet to come. Thank you.
Frank Chi Chung Chan : Thank you, Mr. Chairman. And Stephan. For the year 2024, as Chairman and Stephan said, we've continued to deliver outstanding results. We have our sales at $14.6 billion and organic growth of 6.5% or 6.8% in local currencies. Milwaukee continued to extend its dominant market leadership position with a sales growth of 11.6% in local currencies, while RYOBI Power Tools and other products also outperformed the market and grew by 6.7%. Gross profits increased by $476 million to $5.9 billion, with margin increased by 85 basis points to 40.3%. Higher mix of margin accretive Milwaukee business, aftermarket battery sales, high margin innovative products, our focus in improving productivity, efficiency and costs across all our global manufacturing operations and our outstanding procurement team making sure we get the best terms and costs from suppliers all contributed to the improvements to our gross margin. As our gross margin increased by 85 basis points and we've only reinvested 45 into SG&A, our EBIT increased by 11.9% or $136 million to $1.27 billion, with margin increased by 40 basis points to 8.7%. With the increase in EBIT and the reduction in net finance costs, despite effective tax rates increased by 30 basis points, we have delivered record net profits of $1.12 billion, an increase of 14.9%, with net profit margin improved to 7.7%, a 60 basis points increase. Earnings per share increased by 15.1% to $0.6143 per share. The board recommended a final dividend of HK$1.18 per share, a 20.4% increase as compared to HK$0.98 per share in 2023. Together with the HK$1.08 interim dividend paid, subject to shareholders approval to the recommended final dividend, total dividend for the year 2024 will be HK$2.26 per share, an increase of 17.1% over 2023, representing a payout ratio of 47.5% as compared to 46.7% in 2023. Power Equipment division accounted for close to 94% of the Group's total revenue, grew by 7.3% or 7.6% in local currencies to $13.7 billion. Operating profits of this division increased by 12.1%, with margins improved by 30 basis points to 9%. Floorcare & Cleaning division's revenue was down 4.5% in local currency, as we focused on improving the profitability of this division and exited non-performing SKUs. Despite lower sales, the operating profits of this division increased by 4.73% with margins also improved by 30 basis points to now 3.2%. From a geographic perspective, all regions delivered outstanding growth. North America accounts for close to 76% of our revenue, grew by 5.5% in local currencies. Europe, approximately 16% of the group's business, grew by over 10% in local currencies, while the rest of the world, led by Australia, delivered an impressive local currency growth of 12.5%. As mentioned earlier, we have continued to reinvest our gross profits into SG&A. SG&A as a percentage to sales was at 31.7%, an increase of 40 basis points as compared to 2023. The increase mainly due to our continued investment in R&D, which increased by over 40 basis points to now 4.4% of sales, while selling and administrative expenses as a percentage to sales remained comparable to that of last year. We believe in investing in new innovative products, category expansion and technology is most important and strategic for us to continue to be the market leader and outperform our competitors in our industry. Net finance costs reduced by 32% or over $25 million as we continue to apply the free cash flows generated from operations and from our very disciplined working capital management to pay down higher cost debts. Under this challenging uncertain economic environment, we will continue to execute our prudent financial management to further drive our net finance costs down. Effective tax rates was at 7.8%, 30 basis points higher than that of last year as we have taken a prudent approach strategizing and executing our tax plans. We continue to maintain that the current effective tax rate is sustainable mid-term. Our balance sheet continued to be very strong and healthy. Shareholders' equity was at $6.4 billion, an increase of 10.7% as compared to $5.7 billion in 2023. Net current assets increased by $440 million, or 18.9%, to now close to $2.8 billion. We have implemented rigorous control over our working capital and as a percentage of sales improved it by 322 basis points to 14.4% as compared to 17.7% in 2023. Despite sales increase by 6.8%, our inventory level remained comparable to 2023. Inventory days, therefore, improved by 7 days to 102 days. The days of improvement mainly came from raw materials and WIP, demonstrating the success of our vendor localization program and the effectiveness and efficiency of our supply chain management. Finished goods days remains the same as that of last year. Trade receivables was at 47 days, 2 days higher than 2023. The increase was mainly due to the higher level of sales in Q4 2024. Payable days was at 97 days as compared to 90 days last year as we continue to leverage our volume and financial strength for the best trade terms with our suppliers. As previously explained during interim results presentation, our infrastructure and capacity expansion projects for future growth been mostly completed. CapEx for the year was $292 million, 42% lower than that of 2023. Our CapEx for 2025 will focus on improving productivity efficiencies, qualities and automations, and projected to be in the range of around mid-300 million range. With the improvements in profit and working capital, we've generated close to $1.6 billion free cash flows in 2024, 23% higher than the $1.3 billion we delivered in 2023, representing a 142% conversion of our net profits. Gearing as a result improved to 0.7% from 17.1% end 2023. Our target this year 2025 is to be in a net cash position. The 32% reduction in net finance costs is a direct result of us paying down high-cost debt and we will continue to do so. During 2024, we have been able to reduce our total net debt by over 95% to now only $45 million at year-end. Floating rate debt, which are the more expensive debt, reduced it by 54%, while fixed rate debt reduced by 21%. Long-term lower-cost debt now account for 60% of our total debt, with debt due within one year the balance 40%. And now I would like to pass the floor to our CEO, Mr. Steven Richman.
Steven Philip Richman : An outstanding 2024, as you just heard. The foundation of this success is very, very clear. And we've talked about it. Stephan just talked about it. It is clearly our people and our culture, an amazing culture and the best people in any industry that you may find. That is the foundation. However, it doesn't stop there. It is about our people and our culture and what they bring to the party. How do we bring them forward? We recruit, retain, and invest in the best people throughout the globe. And it's not in one function. It's not in one discipline. It's in our manufacturing operations. It's in our new product development teams. It is in our sales and commercialization groups. It's in our branding. It is how we think about our business with a relentless focus on our consumers and our professionals. It is all of this together. And all of that really relates to one new aspect of our business. It's bringing it all together. And that is one TTI. All of us throughout the TTI organization working together to try to drive the success that we have had year after year after year. And this philosophy, this mantra, will continue to drive outstanding results and also, most importantly, solve our problems. The people sharing knowledge and experience, when we have a problem and need a solution, it's the manufacturing teams around the globe coming together, figuring out what we have to do to solve that problem every single day. It's our marketing teams sharing the knowledge and the experience of how to go to market in Poland versus Australia versus the US, and saying, what do we have to do differently? What can we learn from each other as one team? And how do we drive this outstanding success? That is the success of one team together in TTI. And that's what we do that no one else does, and it is clearly a competitive advantage. Now you combine that one team, and then you think about the experience we have at TTI. Thousands of years of experience in every single discipline across the business, allowing us to challenge each other, come up with the best thoughts and actions and ideas, having candid communication that ties to our culture, to figure out what we have to do differently and what we have to continue to do that we have done in the past. But it doesn't stop there. Think about these senior leaders throughout TTI. This is unique. We have a group of senior leaders that have been together for over 17 years. I ask you, how many other companies have a senior leadership group that has been together for that amount of time? Now, what's the advantage of that? The advantage is clear. It ties to our culture. It allows people to have candid dialogue, candid communication. Talk about what we're doing right and what we're doing wrong. Talk about what we do next. That is our culture. That's why our senior leaders are so effective across the organization. They bring it together. They bring it down throughout the organization. They listen to the ideas from every level, from our factory floors, to our manufacturing facilities and our leaders, to our product development teams, to our users, our consumers, and our professionals, to try to drive what we have to do together as one team to win. At the end, we are one team, and we are TTI. What does that mean to us? It allows us together to focus. It allows us to say, how do we grow sales, top line? By expanding into new markets, by adding additional segments to our business, by leveraging the two best brands in our industry. It also ties to innovative solutions. We are an innovator. We're not just an innovator in product development. We innovate throughout the business, from our financial teams to our product development team to our brand developments, every single aspect of our business is where we drive innovation, day in, day out. The end result of all of this is year in, year out. strong financial results. That's the result of the people and the culture. That is the result of the one team that we have at TTI. Now, Stephan and Horst and Frank talked about the outstanding 2024 results. Amazing results. If you looked at it in one year, you would say, wow. But the most important thing is that this is not about one year. This is about 16 straight years of outstanding performance as a company. From a sales standpoint, where we continue to grow. From an EBIT viewpoint, where it continues to improve. From a net profit viewpoint that we will continue to win and deliver more profitability. And this is just the beginning. Now let me talk about 2024 in our sales performance. Because it even gets better when you think about it in a different fashion. Yes, we've had strong sales performance at 6.5% growth. Absolutely outstanding. Now think about this for a second. The most dominant number one consumer brand throughout the globe, RYOBI. The most dominant professional brand, Milwaukee, throughout the globe. And you take those two businesses globally, and you say, what kind of growth do they have? Over 6% for RYOBI, double digit for Milwaukee. Taking market share, expanding markets, owning the consumer, and owning the professional end user, having the best distribution partners throughout the globe, leveraging technology partners and we continue to win. That was 2024. As we move forward, where are we going? What is that financial direction? How do we think about the financial direction as a company from these great leaders over here and the leaders throughout the company? Number one, sales growth. We understand we are a new product machine. The mantra behind our company is winning and driving top line sales. How do we do it? We expand for each of our user segments. We continue to grow in our portfolios of the Milwaukee brand and the Ryobi brand. And we do that every single day. I was talking out in the hall and the question came about EBIT and we are driving to 10% EBIT of sales. That's our mantra as we move forward. And Frank and Stephan and Horst talked about free cash flow, over $1 billion annually. Those are our financial perspectives of where we must focus, not only in the past, but most importantly going forward. Now let's talk about our two dominant brands. Now, Shane and Bobby are going to talk extensively about RYOBI and about Milwaukee. It all starts with cordless domination. Let's understand why that's so important. We have been, in both platforms, the RYOBI brand and the Milwaukee brand, backward and forward compatible for over 17 years. RYOBI over 25 years. Why is that important? Once a consumer on the RYOBI platform buys that product for the first time, they have confidence. They know that they can always get another product from RYOBI and the battery will fit. And they understand it will help them get their jobs done. On the Milwaukee front, we've also been forward and backward compatible for 17 years. That innovation has allowed us to solve users' needs throughout the globe in every core vertical that we talked about. But on the Milwaukee front, we're not a power tool brand. We are a solution provider to the core trades, understanding what they do from the time they wake up in the morning to the time they go to bed at night and solving their problems. That's why professionals throughout the globe love Milwaukee, believe Milwaukee. We have earned the right to partner with those pro users everywhere throughout the globe. Now, talking about that a little bit, let's discuss the opportunity. We're clearly just getting started on the Milwaukee brand. Why are we just getting started? When you think of each and every one of these verticals and new vertical opportunities, you probably think about the product portfolio that we have today. If you would have walked in this room 10 years ago, half of those products we would not have had. Half of the segments of the business, we would not have had. Yes, there are circular saws. Yes, there's drills. But today it's much more. As a productivity and safety and solution company, and the Milwaukee business, we have added gear to help the user on the job site. We have added personal protective products to help them be safe. We provide lighting solutions to let them get their job done easier. We have hydraulic products for cutting and crimping for utility workers to make them more efficient and more productive. And with a shortage of manpower on jobs, let them get their jobs done. We have power tool accessories that are tied to our tools that enable them to be more productive. All of this ties together, and Shane will go in great detail to explain that the Milwaukee brand globally is just getting started, and we have more and more opportunities to win. On the RYOBI front, it's just as exciting as Bobby's going to take you through. Bobby and Drew and their teams and the global sales teams throughout the world have clearly partnered with the best distribution partners, but they've really thought about the consumer. Where can we own the consumer today? Where can we own the consumer in the future? And how do we offer a portfolio to win? The number one consumer brand in the globe. And we're just getting started on the consumer side of our business as well. So how do we keep it going? How do we make sure that we aren't stopping right now? We are a paranoid group at TTI. We are afraid. Yes, we are afraid. We are afraid that we're going to get disrupted by somebody else. There's a Harvard professor named Clayton Christensen. And he wrote a book called The Innovator's Dilemma. And in that book, what did he talk about? He talked about companies like Blockbuster. He talked about companies like Nokia, companies that did not innovate, did not understand where the market was going in the future. We're not that kind of company. We're the kind of company that understands that we need to innovate in all aspects of our business. From our manufacturing operations to our product development, to our product design, to how we commercialize products, to how we attack the marketplace, it makes us different. That paranoia allows us to innovate and understand that disruption is critical. We will continue to be the company that disrupts. Let me take you through a few examples. Now, I'm not going to do this justice, because our technology leaders would spend hours talking about this when they talk about batteries. We have the people, the most talented people on technology in the world working for TTI. We have the culture that allows us to win every single day. And part of that winning is disrupting. Let's talk about the Milwaukee battery platform. When we first launched that platform, the capabilities were okay 17 years ago. They were best in class. But the world is involved. Now people leverage AI and ML, and we started doing that years ago. And with that, we've changed and adapted our system architecture. We've adapted our hardware. And all of that together has allowed us to now have the most powerful, the most durable, the most longest lasting products from outdoor power to hydraulics to every single category that we are in today. And that forward and backward compatibility is unique in the industry. But it's not just in the current battery products, it's also in how we think about design. We've leveraged AI and ML in design. How do we do that? We have the most talented people. And the end result of that is speed to market. We drive more new products than any of our competitors. But most importantly, we bring them to market faster. We leverage technology to be able to do that. We are at the forefront. We were just in our plants this past week, and what you saw in those facilities was the same thing. How do we leverage technology inside our facilities? We do that through the latest in technology. Our manufacturing operations globally leverage technology to be best in class, to drive performance, to disrupt the old way of thinking. In the supply chain organization, we use ML. We use machine learning to be able to be able to accomplish clear objectives. Our goal with our customers is 99% service level. How do we get the forecast right? We don't always do that, but the teams leveraging ML have allowed us to focus on driving more turns, 98% service level, and more free cash flow. That is what disruption is about. Disruption is in the DNA of TTI. And that's how we continue to win. So how do we wrap this up before I turn it over to Bobby and Shane who are going to talk about RYOBI and Milwaukee? Let me recap a couple of elements. The foundation is our people and our culture. That's what makes us win every single day. A relentless focus on our consumers and our pros, delivering the kind of solutions they need and want, is a requirement for success. We disrupt throughout all of the aspects that we focus on in our business. And the end result of all that is what you want to talk about. Great financial results today and great financial results into the future. We want all of you to understand. We are just getting started at TTI. And that one team throughout TTI is the opportunity for us to continue to win and change the game. And now Bobby Shaw is going to come up, and Shane Moll are going to come up and explain to you how we win with the number one consumer brand and the number one professional brand in the world today. Bobby?
Bobby Shaw : RYOBI is the number one consumer tool and outdoor brand in the world. The strength of our business lies in our focus on cordless, as you heard from Steve. With outstanding products, 400 plus global cordless solutions, and phenomenal distribution partnerships globally to drive it. Now we're approaching almost 30 years of cordless focus on the RYOBI business. And this has led to incredible system strength and a massive installed base of loyal and passionate RYOBI users across the globe. Yet we still have so much opportunity ahead of us. Our cordless ecosystems are a major competitive advantage for us in the DIY arena. And today, that focus on cordless is on three main platforms. Our USB lithium line of compact, ergonomic solutions with rechargeable power. Our 18 volt ONE+ platform that's over 25 years old, forward and backward compatible, with a wide array of solutions to give that user the power to do more. And our 40 volt lithium line that powers some of our most demanding product applications, allowing us to convert those users from legacy power sources like gas or corded. These systems all have unique advantages that complement each other well to allow RYOBI to be the total system provider at home and on the go for that DIYer and that value pro. Now, you look at where RYOBI has been to where we are today, it's been big growth. And that focus on cordless has led to even higher levels of growth. 15% compounded annual growth since 2016 on cordless. And since 2019, the year before the pandemic, we have almost doubled the size of our cordless business globally. And we're just getting started. So, today, I'm so excited to share with you why RYOBI is number one and why we're confident that we can continue to grow this business in a big way. We're in so many different product segments with the user and underdeveloped areas that we have confidence that we're going to continue to grow going forward. Now, as you heard from Steve, our focus on the user guides everything we do. We wake up every day and want to understand what are the needs of that consumer and how can we deliver innovative solutions for them. And we've taken a more focused, strategic approach to the DIY user umbrella. As you see, we have segmented it out and created distinct user verticals in DIY. And this focus and this strategy guides our execution and our strategy, everything from product development roadmaps to how we communicate and drive demand with these users because we understand that specificity drives credibility. Our ability to connect to the right user with the right message at the right time is imperative to RYOBI being the brand of choice for these users in the industry. Now the users you see up here, and a host of different subsegments underneath them, represent over $80 billion of opportunity for the RYOBI business to go get, and to continue to convert, and to grow. Now, regardless of those distinct user segments, we operate with a dual fold mission at all times. And that is. get new users into our platform, and then take those same users and drive them deeper, entrench them, create more loyal, lifelong RYOBI customers. Many of you know we have a massive installed base of users that our teams wake up every day and figure out how can we drive them deeper. Our wide array of solutions across all of our platforms, how do we drive them deeper and create more loyalty? If they have four tools, how do we get them to 10? If they have 12 tools, let's get them to 30. That's our mentality. But at the same time, we don't lose sight of the fact that we've got to drive new users into our systems at all times as well. And whether that comes from a need, like having to deal with leaves or the lawn or simple assembly around the house, or the desire to tackle a DIY project to improve that home or that space, RYOBI will make sure that we are top of mind for those opportunities and continue to drive new users into our business in a big way going forward. So what's the RYOBI advantage? Why are we number one? Well, as Steve mentioned, it starts with compatibility. We have never left the customer behind. Many of our DIY competitors have changed battery platforms along the way. And RYOBI has continued to innovate and improve our batteries and our cordless systems to not only retain that massive installed base of users, but to give them the opportunity to trade up to the latest and greatest of what RYOBI has to offer to newer technologies. We recently introduced our next generation of 18 volt ONE+ batteries, and that's our high performance edge battery. These batteries utilize tabless cell technology. RYOBI is the first DIY brand in the industry to launch this technology. We will continue to lead the way in performance and innovation. And these batteries deliver more power, more runtime while running cooler and living longer, all while staying compatible with over 25 years of ONE+ products. So that customer that may have bought a ONE+ product in the late 90s or early 2000s can buy this battery and that tool will perform better than the day they bought it. We'll continue to lead the way with performance, innovation and value. And whether that's the high value solutions for that everyday homeowner, or the best performing high tech products, RYOBI truly has a tool for every customer. Our new and growing line of ONE+ HP brushless solutions are the best performing products in the industry. These highly capable brushless power tools give Ryobi more opportunity to convert, to entrench, and to delight that serious DIYer and the value pro, providing more opportunity to convert users and to grow our business. And lastly, we've talked about it, but the system strength of ONE+ and the wide array of solutions is the best value proposition in the industry. And that'll continue to be a major strategic advantage for us going forward. Now our focus on the user leads to innovation opportunities. And while we'll continue to lead the way with new innovation, we're also not afraid to disrupt ourselves and launch new technology and new versions of products that improve based on those user feedback and that user need. And that gives those users an opportunity to trade up to the best of what RYOBI has to offer. Our new ONE+ HP one-handed reciprocating saw delivers 2x faster cutting with much less user vibration, enhancing that user experience. Our ONE+ Whisper series fan delivers 24% more air velocity while operating 44% quieter. As users continue to tell us, quieter is better, but not at the expense of performance. RYOBI delivers both. And our brand new 40 volt mowers that are hitting stores right now, as we speak, in this highly critical category, we're taking a massive leap forward in performance and technology. These new mowers deliver two times more power than our previous generation, giving users more power than 170 cc gas powered lawnmower. These new mowers deliver the industry's best cutting performance, period. This level of performance and innovation will continue to give RYOBI more opportunity to convert those customers from legacy power sources like gas and corded. Now let's dive a little deeper into that outdoor power user. The outdoor power space has been in a transformational period of growth and conversion from legacy power sources. There's an abundance of opportunity here, and we are leading the way with performance and innovation. Today, over 50% of the mowers that go out the door at retail are still gas. So what does that mean for us? That's that much more opportunity that we have to drive conversions and to grow the RYOBI business. And we are leading the way doing that. Now outside of our innovation and performance, our platforms give us a major advantage with this user. From 18 volt ONE+ to 40 volt lithium, RYOBI truly has a tool for every yard. We understand that there are some small homes with small sized yards. There are large homes with large yards. And the combination of our 18 volt platform and 40 volt platform gives RYOBI the opportunity to serve any of those customers the right product need based on what they need. Lastly, there are countless subsegments outside of just lawn maintenance that we're attacking with this user. Everything from gardening, to snow removal, to outdoor cleanup, there is so much opportunity with this user for us to continue to grow. And we're going to do that in a big way going forward. Another user opportunity that's a major opportunity for us to grow is the lifestyle and recreation. This is a $30 billion global space that we're just getting started in. RYOBI is delivering products that power your everyday outside of the DIY project or the job site. Fans and misting tools to keep you cool on a hot day, exceptional audio products to keep you entertained on the job site, at the beach, or in the backyard, and a myriad of lighting solutions to help you finish that project or to light up the campsite. Users find great value in our removable battery and being able to take that battery and move it from one product to the next for whatever adventure they're on, at home or on the go. So whether you're at a kids' soccer game, you're on a camping adventure, or you're at the beach, RYOBI will continue to deliver cordless solutions that enhances that experience. Okay, so we've talked about our focus on the user and how that drives innovative product solutions, but at the end of the day, we know we have to drive demand and ultimately drive sales. Now, we understand that each user's journey is different. Whether it's a conversion away from those legacy power sources, or a conversion from our competition, or their first entry into cordless tools, each user's journey to our brand is different. And we need to find new ways to drive demand with all of those users. And we'll continue doing that in a big way. Now, in stores, many of you have walked Home Depot or Bunnings stores, and you see that awesome presence we have. Best-in-class merchandising solutions to complement our awesome products. And a passionate, energetic sales team globally that engages customers every day in the stores to make them more aware of our product solutions, to educate them, and to drive conversion and drive sales. Online, from e-com and digital and social marketing, RYOBI generates billions of impressions annually for our brand and our products. And it's imperative that it goes back to that dual fold mission, driving the right message to those new users versus those existing users. How do we tell the right message at the right time for the right user and drive that demand in a big, big way? Now, none of this is possible without best-in-class distribution partners globally to drive it. And we have the best distribution partners that give us the support and the platform to own that consumer. In North America, our relationship with Home Depot is a major reason that we continue to flourish in that region. That relationship and that partnership focuses not just on the short term, but also on the long term. And how do we own the consumer together? How do we drive more loyalty, driving customers back to Home Depot, back to RYOBI? And in Australia and New Zealand, it's no different with Bunnings. It's that same level of partnership, that same level of relationship. How do we win together and how do we own that consumer? And we've got a wide array of distribution partners across the EMEA market, and there are other areas of the world that we'll continue to grow into in the coming years. These partnerships are integral to our success. So, our mission is clear. We want to own the home, and we have the right people, the right product solutions, and the right focus on the user to make that happen every day. So whether it's in the home, in the yard, or on the go, RYOBI has endless opportunities to grow. And we're going to continue to do that into the future. Thank you.
Shane Moll : All right. In 2024, Milwaukee excelled in earning the right to partner with our core trades and distribution partners, delivering remarkable results. We captured significant market share, extended our geographic reach, and created exciting new pathways for growth. Milwaukee continues to extend our leadership position by executing a very unique strategy in which we're delivering leading safety and productivity solutions deep within our core trades, developing deep embedded partnerships unlike anyone in the industry, and a relentless focus on breakthrough technology. All of this supported by remarkable people and an exceptional culture executing our strategy. But our results start with one team, united by a purpose. That purpose is to increase the safety and productivity and protect the most vital resources on job sites throughout the world, our core trades. And our core trades are the reason why we invest in safety and productivity unlike anyone in the industry. And today I will share with you a few examples how we treat this unlike anybody in the industry as we continue to drive safety and productivity as our core fundamental belief of what will drive us forward as we move into the future. All of this is supported by leading cordless systems and the most innovative technology in the industry. Now, the outcome of our purpose is evident in the 12% sales growth that we delivered in 2024. This is not only a clear indication of significant market share gains, but also of our global leadership position, built upon a proven track record of consecutive double digit growth that spans well over a decade. Milwaukee will continue to drive solutions to enhance this as we move forward. Because it's our people who will continue to deliver innovative solutions, leveraging breakthrough technology, deliver consistent double-digit growth and profit expansion as we move forward. So the path that we've paved in order to deliver this success is a very unique strategy, a strategy where we focus on 10 very simple verticals in order to drive our core focused approach. And we are developing embedded partnerships, unlike anybody in the industry, to understand what makes it important to drive their productivity on job sites throughout the world. We understand that each of these trades has different sets of problems that we need to solve, problems that we will solve together to continue to create new opportunities for growth as we move forward. And although our trade-focused strategy of focusing on 10 of many verticals within the construction industry may seem simple, I can assure you that the simplicity is rooted in the disciplined execution of our strategy, a strategy that we've been executing for almost two decades. Understanding as you look across our ten verticals and dive deeper as we do every single day, it reveals hundreds of sub-trades with unique problems that we help solve together. And these problems we view as opportunities, opportunities for us to continue to grow as we continue to earn the right to partner with all of our verticals as we continue to expand into the future. Now, none of this would be possible without the 1,600 highly skilled job site solution team members that are engaging with the trades on the job site every single day. Engaging with them where the problems that they are encountering firsthand. And this is what I'm talking about when we're earning the right to partner, because we're with them and understanding the challenges that they face every single day. This is not an initiative. This is not us pivoting to a new strategy, as you may hear from others. This is a relentless execution of our strategy that we've been doing for almost two decades and a critical competitive advantage we will continue to leverage in the future. Now no time in the history of our company had these relationships been more critical. The reason why they're so critical is because of what's happening to the face of construction throughout the world. And that is the hyper-growth segments that are reshaping construction and driving significant portion of the growth throughout the industry. You look at large projects like data centers and energy, infrastructure, and mega-projects. These projects represent millions of labor hours in order to complete the project. And it just so happens that our core trades represent a significant portion of those labor hours in order to complete the work. That's why Milwaukee is so focused and dedicated on delivering safety and productivity to our core trades unlike anybody in the industry and why we are engaged in hundreds of these job sites throughout the world as we've earned that partnership to engage in these critical segments of work. So as we move forward, we have some very powerful examples in which Milwaukee is unique. One of those powerful examples is how we engage in the value chain and the massive build-out of the power infrastructure and data centers throughout the world. Milwaukee is uniquely embedded in every single step of this value chain, from power generation to power transmission to distribution and substations, all the way through to the mechanical, electrical plumbing work within data centers. We are engaged and deeply embedded in every single step of this value chain. And that's what continues to make us unique as we understand the problems that need to be solved and attack them together. So as we move forward, there are some critical verticals that are involved in this value chain, delivering growth throughout the world. One of those is the power utility contractor. Power utility is responsible for building out the power infrastructure throughout the world. And when electricity demand's surging like never before in a very long time, the need to support their growth is vital. The electricity demand is expected to grow at six times the faster rate than total energy demand over the next 10 years. Power consumption is expected to triple by 2050. And that's why Milwaukee is uniquely engaged to help support power utility contractors with this work. Now it's clear that data centers, specifically hyperscale data centers and cloud technologies are representing a significant portion of this growth. In the US alone, over 40% of the energy demand is expected to be consumed by data centers over the next 10 years. And as we look at the growth in data centers moving forward, it is going to continue to have a massive impact on the power utility contractor. That's why we work to engage with power utility contractors throughout the world. In the US, with a massive infrastructure that needs upgrades, as well as in Europe, which has a massive infrastructure, but unfortunately, it's aging and needs modernization. In addition, in Europe, vital new capacity is required in order to support the growth. That's why Milwaukee is developing innovative new solutions to support this growth, like the 5-inch underground cable cutter that is revolutionizing safety for the power utility trades that provides a unique solution that allows them to cut from up to 200 feet away from what could potentially be a very dangerous application of cutting through a live wire. Applications that we continue to deliver like the M18 FORCE LOGIC utility crimper that is the fastest and most efficient means of crimping cable for the power utility trades. This is just one example of how Milwaukee continues to be deeply embedded in the infrastructure build out throughout the world. Another critical vertical is the electrical contractor. Now, unfortunately, like a lot of our skilled trades, labor is in critical shortage throughout the world. In addition, the work is becoming more complex. That's why Milwaukee's engaged to help them improve safety and productivity on these job sites throughout the world. Using data centers as an example, uptime is king. And metal debris from traditional cutting methods can wreak havoc in the sensitive equipment within data centers. That's why Milwaukee has developed a unique and innovative solution called a single channel Strut Shear that provides a debris free and burr-free cut that not only prevents the user from getting lacerations on the job site, but eliminates the debris that can cause massive downtime concerns within data centers. We are also revolutionizing wire preparation with the M12 cable stripper, which is a safe and productive way of preparing wire. across these massive projects. But it doesn't end there. Milwaukee is also uniquely engaged with a mechanical contractor. Mechanical contractors are vital in keeping data centers cool. Driven by AI-ready capability and capacity, demand of data centers is expected to triple by 2030. Triple. And that's why Milwaukee is uniquely engaged to support the mechanical contractor because as power and capability in data centers continue to increase, more heat is generated. And heat is a killer of uptime in data centers. So that's why mechanical contractors are so critically important to help the uptime in data centers. And this will not end. We've all heard about the more efficient AI models that are out there. I'm sure we've read about them in the news. Well, guess what? Demand will continue to increase as those AI models become more efficient, which means more power and more heat will be generated, which relies on the mechanical contractor to keep them cool. That's why Milwaukee is embedded in developing unique solutions like the M18 Ringer Roll Groover, which provides a mobile solution to allow mechanical contractors to install pipe and prepare pipe at point of installation. If any of you have not been on the data center, these are massive projects. And they're typically using stationary pieces of equipment that require a contractor to walk from one end of the site all the way to the other end of the site. Massive drains in productivity. We are innovating by providing a mobile solution that allows the contractor to install pipe at point of install. And this is just one of several of examples that we're going to continue to do to help support the trades. But None of this would be possible without a relentless investment and breakthrough technology. Milwaukee has been pioneering and had been at the breakthrough and at the vanguard of introducing the most leading cordless technology in the industry. From the early stages of the pioneering of lithium ion in the power tool industry to the introduction of high powered brushless motor technology. To the introduction of ONE-KEY, what is today the industry's largest IoT connected platform that is providing access to data unlike any time in the history of our industry. To the recent introduction of new machine learning solutions that are revolutionizing job sites. I think we'd all agree that ML and AI are transforming industries. Milwaukee is transforming this industry with our internal capabilities leveraging machine learning. Our solutions leveraging machine learning in our development are already in the hands of millions of users throughout the world. But we truly are only beginning. Our most recent introduction is the M18 FUEL 7-1/4" circular saw, which is revolutionizing cutting on the job site by taking power and combining it with intelligence. By leveraging our internal capability in batteries, motors, electronics, and working with leading semiconductor manufacturers throughout the world, we're delivering the most capable cutting technology that we've ever introduced. Up to 10 times more capable than the previous saw that we introduced, while being 100% compatible with our system that we introduced almost 20 years ago. Keeping that compatibility, unlike our competitors who are asking their users to switch voltage platforms in order to get more capability, Milwaukee is continuing to keep our users entrenched in our platform. But we know by visiting with the trades that productivity is beyond just power and speed. It's about how we can bring a level of intelligence. By leveraging our ML capabilities internally, we've disrupted the industry and driving inefficiency through advancement and safety. Our new auto-stop kickback protection allows the saw to detect and prevent dangerous kickback events that can occur on a job site, stopping the blade instantly, preventing potential catastrophic injuries that happen on job sites throughout the world. I can assure you that Milwaukee is only beginning in terms of how we're going to continue to leverage ML in driving safety and productivity in the trades. And I think you saw in the examples from Steve and Bobby and across TTI. We continue to innovate in everything we do. We innovate in the engagement with the trades, working with our distribution partners, but we're also innovating in how we engage with them with powerful digital marketing tools, with trade-specific relevant content of our unique solutions to drive them deeper within our platforms. In addition, creating new engagement to bring new users into our system to continue to generate demand. Milwaukee will continue to innovate across everything that we do. So I shared with you today how Milwaukee continues to extend our leadership position by leveraging a very unique strategy of being focused on our core trades unlike anybody in the industry. How we continue to deliver safety and productivity solutions to keep the trades productive and safe. How we're developing deeply embedded partnerships that carry us through and earn the right to access the hyper growth segments that are reshaping and responsible for significant portion of the growth in the industry. How our exceptional people and our remarkable culture are developing new solutions that will continue to deliver double-digit sales growth and profit expansion well into the future. On behalf of the entire Milwaukee team, we could not be more excited today to share with you our remarkable results. But I can assure you that the success you see from Milwaukee is truly just beginning. Thank you.
A - Unidentified Company Representative: Okay, we'll now go to the Q&A session of the portion. Eric, first question.
Eric Lau: Congratulations again for the very successful year 2024. So my first question is for 2025, revenue growth target, according to the result announcement you just said, mid to high single digit, which is quite conservative to me because, A, you showed a slide, over the past 16 years, the revenue CAGR should be 11%, right? That's number one. Number two, your dominant customer, Home Depot, also tell us, the same sales growth will turn into positive territory this year versus negative last year. So any reason why or any concern you set a conservative target because the tariff may cause the CPI invasion in US, will this undermine your product demand or anything else we miss?
Steven Philip Richman: We have been clear that the RYOBI brand will continue in single-digit growth and the Milwaukee brand will drive double-digit growth and then we have the rest of the businesses that we have. We're confident in the mid to high, as we have communicated today. Understand what Home Depot has said. We understand what the market has said and what the other conditions are that are out in the environment. That's where we are today based on all of the market conditions and where we see the forecast for 2025.
Eric Lau: One follow-up question about the tariff. Now most of your US business actually manufacture in the US and Vietnam facilities. So for the worst case, if Trump imposed 25% tariff in Vietnam, so what's your contingency plan in terms of bifurcation of your production base? Share your thought.
Steven Philip Richman: Over the past five years, we've expanded our global manufacturing footprint, as you're well aware. We are better positioned than any other competitor in the industry with our global manufacturing footprint throughout the globe. We at the same time have looked at multiple different options and contingency plans in terms of our manufacturing strategy as well as our pricing strategy. And we have to have the agility which is part of our DNA at TTI because of what is being communicated on a daily basis.
Karen Li: It's Karen Li from JP Morgan. I have two questions here. The first, I think our past result in 2024 showcase that we are a really amazing free cash flow generator. So we use that to quickly pay down the debt and then we increase the payout a little bit. But I think with the pace that free cash flow is being generated, I think going into the next few years, we are going to have problem. What are we going to do with it? Can you share with us some thoughts, particularly in light that our competitors are standing back and, I think, it's still huge leverage. So that's the first question. Second question, I would like to hear your thoughts with regard to our opportunities in Europe. Last year, I think post the interim results Stephen had presented to us, the opportunity over there. I think we have delivered strong results over there when European overall economy is weak. Going into this year, I think there's a high hope that European economy might do better, particularly I think with the ceasefire agreement and so on, right? So, what's the opportunity there?
Steven Philip Richman: Let me answer the European question and then we'll hand it over to Frank. The European market, Alex and his entire team, and the product development teams that are focused out of the US continue to be bullish on our growth and expansion and our ownership of the professional end user as well as the consumer side of our business in Europe. We continue to grow. We believe double digit growth in the European sector will continue and we are continuing to become the dominant cordless brand throughout Europe.
Frank Chi Chung Chan: On the capital allocation side, I think as we mentioned, the forthcoming economic environment is so uncertain, so definitely we would like to be as fluid and as liquid as possible. But having said that, you notice that we've already increased our dividend payment and dividend payout ratio, and I'm talking on behalf of the board. I think the board will continue to favorably looking at gradually increasing ratio. And then in this environment, actually, there are opportunities around that we can pick up certain M&A opportunities that we see fit to us. So that's one of the reasons why we also want to stay liquid and have the funds available whenever there's an opportunity there. Yeah, we would like to build a war chest for that as well. CapEx, we just mentioned that we will be spending about $350 million, $360 million CapEx this year, 2025, and that will also need certain fundings. But all in all, we see that there are so much opportunities just within Milwaukee, within RYOBI, we would like to also reinvest in ourselves for technology, for new products and for new business opportunities, and to be accretive to our shareholders. So that's how we see the current capital allocations plan for now.
Stephan Horst Pudwill: I also just want to highlight a point. If you look back over the last five years and look where TTI was with the manufacturing footprint and the amount of operations that we've opened up in a relatively short period of time, we were able to do that because of a strong balance sheet and the capital that we were able to deploy on these things. And like what Frank was saying, when you look at the world, what we like to have is a lot of flexibility in terms of deciding what we want to do with deploying this capital, whether it's expanding operations in certain parts of the world, investing in new technologies, or looking at other opportunities to come and present themselves. We do believe that we are in an environment where there will certainly be a lot of opportunities that present themselves down the road. And even from a working capital financing standpoint, the stronger the balance sheet, the more efficient and the more effective and lower our working capital financing costs are. It's partially reflected in the interest costs or the interest expense which has come down quite a bit. So looking at the opportunities and the future, like we said, we are not short of any opportunities. And having that strong balance sheet certainly gives us the flexibility. Like Frank mentioned, the board decided to increase the dividend payment. So we've increased that. But like we said, there are plenty of opportunities and it's all about finding the right type of opportunities that come along. And believe me, we're not going to do anything silly just for the point of doing it. We're going to do things that are going to add value. And it's all about creating shareholder value. That's what we're looking to do.
Johnson Wan: This is Johnson from Jefferies. Given the labor shortages we're seeing around the world, have we thought about technology that involves replacing human labor? For example, I was at CES in Jan, and I saw our competitor, like John Deere, they're rolling out autonomous tractors, for example. So are we thinking along the lines of this also.
Steven Philip Richman: It has been very clear that we are all about productivity and safety solutions. So our relationship with the core trades, as Shane talked about, throughout the globe, are extensive. And with that, we have many different approaches for advanced development to solve the productivity problem on the job sites throughout the globe. And that is the advanced side of where we are going. What we have to do is work with those trade partners in the core trades, understand where their pain points are, where we need to change productivity in a different way and then enable them. And some of that is the products that we have today and then others are leveraging other technology that we have in the future.
Helen Fang: This is Helen from HSBC. Congratulations again on your great results. I would like to ask for two questions. Number one is, I guess a lot of investors are positively surprised by the expansion of the GP margin we delivered for the full year. It is slightly, or I would say actually a lot, higher than the previous two years. Can we have a rough idea what is driving that? I know that, in the announcement, we attribute that to a better product mix, the efficiency improvement, etc. Can we have a detailed breakdown of that to have a better understanding? And most importantly, do we think it is sustainable going forward for 2025? And if I may, for the OP margin, it comes down to the relatively normal or usual level because of the continuous expansion of R&D, as we just explained, for the future. Is it going to be the same case for 2025 and onward? That's my first question.
Steven Philip Richman: At a macro level, as we said, we're driving to a 10% EBIT target. That's the macro. That's 50,000 feet. That's where we are moving. And then once we reach 10, it's where do we go from there? In terms of gross margin, number one, you need to look at the mix as Milwaukee continues to outpace the sales of the rest of our business. Clearly, that's a rationale and one of the reasons in terms of the mix of the total business of why the gross margin increases. You combine that with the rest of our productivity efforts across the business and that delivers. At the same time, as you said, we invest in R&D because we need to continue to disrupt to stay ahead of not only the competition, but answer the problems that our customers have throughout the globe because we are a growth company and that investment is a requirement.
Helen Fang: May I have a follow-up? What is the current contribution of the battery at the revenue level now?
Frank Chi Chung Chan: We did say in 2022 that battery aftermarket sales, it's about 10% of the group's revenue. And for now, it is higher than 10%. And that's what we can tell you.
Helen Fang: The second question I have is about the CapEx. You have mentioned that CapEx is going to be mid-300 million basically for this year. And I was wondering, does that mean that we are slowing down the capacity relocation, that most of the relocation has been already finished, so that we are more controlled in terms of the CapEx going forward?
Frank Chi Chung Chan: The other way to look at it is we finish our capacity expansion, and now it's time that we fully utilize the capacity. So we don't really need additional capacity expansion for now.
Xiao Feng: Feng Xiao from CLSA. Not trying to beat the dead horse here, but regarding tariffs, our progress of supply chain relocation has reached a degree that the management feel very comfortable about tariffs or even probably for the next six months we'll get 10% average each month. That doesn't matter to the business from operational perspective. Is that a fair conclusion?
Steven Philip Richman: Once again, we are better positioned, we believe, than any of our competitors throughout the globe with our global manufacturing footprint throughout the globe. We have the agility to be able to understand where we are today, and also the agility to respond to whatever changes may happen tomorrow, the day after, the day after, the day after, and deal with that kind of flexibility. Part of that is building out scenario plans on each and every one. And since there's no black and white situation today regarding what we have to do, we are keeping those scenarios in place that includes pricing actions in the marketplace to be able to deal with what the end result will be over time.
Terence Chang: This is Terence from Macquarie. First, congrats on the amazing results. If I look at Milwaukee and RYOBI, both obviously will still see pretty strong outlook. However, on the Floorcare side, I was wondering if there's any plans on either seeing improvement or in terms of thinking about selling out the business to focus really on your core. dominant brands in Milwaukee and RYOBI.
Steven Philip Richman: We have two amazing brands in HOOVER and VAX in the Floorcare arena. We are now realigning globally as one team to leverage the strength of both Milwaukee's technology, RYOBI's technology, the different parts of the world with Floorcare to not only fix where we were in the past, but also lay out a plan to improve profitability and then grow and drive innovation in this category the same way that we have with Milwaukee and RYOBI for years. We're in the first inning of that plan.
Terence Chang: And the same question, can you maybe share a little bit more details on the performance of Milwaukee in terms of product categories, which are the key kind of areas that you will highlight to see strong growth, like for example, PPE or weather? Is MX FUEL or is M18, is there any color you can share?
Steven Philip Richman: In terms of the areas of the Milwaukee that are growing perhaps more than others, I'm sorry. Could you repeat that?
Terence Chang: In terms of the specific areas of Milwaukee business that is growing relatively better whether, it's like MX FUEL, M18 or whether it's like the personal protection equipment side, can you maybe give a little bit color on that part? Also, in terms of verticals that you are seeing growth being better than on the average, I guess?
Steven Philip Richman: We're seeing very positive growth across our business. There's certainly newer categories that were sort of in the early innings in terms of our investment. Some of those categories were seeing more growth, off of obviously a lower base, but some of those categories such as PPE, we're seeing very strong growth in those categories and it's continuing to grow as a substantial portion of our business, but we feel still in the very early stages of that growth. I would say overall, our businesses, we've done a really good job of mixing our innovation across all of our categories and we're seeing remarkably strong growth across all of our categories, but those categories that are, I would say, in the early innings of our investment, we're seeing growth that's higher than the standard growth across the business.
Horst Julius Pudwill: What Steve mentioned before, we have RYOBI, we have Milwaukee, all other, 14%. We will address these issues, I assure you. Milwaukee, you have not seen the team, but in the last 15 years, it's the same team who created Milwaukee as we have today under the leadership of Steve, Shane and the other people you have met. Now, when you go 10 years back, it was easy to say Milwaukee is growing 18%, now 12%. 18% or 20% on $1 billion sales is $120 million, $150 million. Now we grow $1 billion, $1.2 billion. That means, every year, we create a new Milwaukee. That never happened in history. You name me one. There are big surprises still to come. Bobby, no company has been created in 20, 25 years being number one in the world in consumer tools. You know our the competition we have in China, in Europe, in the US and we have managed that. I don't want to make a big closing statement. I hope you were happy and satisfied with our presentation. But I can tell you, don't worry about 2025 or beyond. We are very well positioned not to disappoint you. Our business is fantastic. Thank you.